Operator: Good day, ladies and gentlemen and welcome to Fabrinet’s Third Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to hand the conference over to John Marchetti, Fabrinet's Chief Strategy Officer. Please go ahead, sir.
John Marchetti: Thank you, operator and good afternoon, everyone. Thank you for joining us on today's conference call to discuss Fabrinet's financial and operating results for the third quarter of fiscal year 2015 which ended March 27, 2015. With me on the call today are Tom Mitchell, Chief Executive Officer and Chairman of the Board of Directors of Fabrinet, and TS Ng, our Chief Financial Officer. This call is being webcast and a replay will be available on the Investors section of our Web site located at investor.fabrinet.com. Please refer to our Web site for important information, including our earnings press release and our non-GAAP to GAAP reconciliation. I would like to remind you that today's discussion will contain forward-looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from management's current expectations. These statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise them in light of new information or future events except as required by law. For a description of the risk factors that may affect our results, please refer to our recent SEC filings, in particular the section captioned Risk Factors in our Form 10-Q filed on February 3, 2015. We will begin the call with brief remarks by Tom, myself and TS, followed by time for questions. I would now like to turn the call over to Fabrinet's Chairman and CEO, Tom Mitchell.
Tom Mitchell: Thank you, John, and good afternoon everyone. I am pleased with our third quarter results, with the revenues and earnings per share ahead of our expectations. Our initiatives to expand our new product introduction and advanced packaging capability are well underway and we are on track to ship our first products from our new West Coast facility in the current quarter. We are gaining traction with these programs and they are adding strength to our new business pipeline. This pipeline is critical to the long-term success of the company and we will continue to add resources to expand and strengthen this pipeline. I’ll now turn the call back to John for a discussion and the markets we serve John?
John Marchetti: Thanks, Tom. Our third quarter results came in ahead of our expectations, driven by growth in our optical communications business, particularly in our datacom segment which grew 20% sequentially. With the demand environment seeing a bit more stable than it was in the second half of last calendar year and contributions from our new programs continuing to grow we expect our fourth quarter revenue to increase sequentially in both our optical and non-optical segments. Our optical communications business turned in another solid quarter increasing 14% year-over-year and 2% sequentially. We were particularly pleased with the sequential increase, as we did not recognize any consignment revenues in the third quarter. On a normalized basis excluding the impact of the consignment revenues on our fiscal 2Q result optical communications business increased nearly 8% quarter-over-quarter. Our split between telecom and datacom in the quarter was approximately 69% telco and 31% datacom, with both segments up on a sequential and year-over-year basis, when excluding the impact with consigned revenues on our 2Q results. Similar to other quarters, growth in our optical communications business was driven by advanced optical components and modules including the 100 gig, while improvements in our datacom business were driven by 10 and 40 gig solution. As we look into the June quarter, we are expecting both our telecom and datacom businesses to increase modestly on a sequential basis. Our non-optical business performed a little below our expectations, up 11% year-over-year, the -- 2.5% sequential on a quarter-over-quarter decrease in our laser segment partially offset by an increase in our auto business. Excluding the impact of the consigned revenue on our 2Q results, our non-optical business would have been roughly flat on the sequential basis. In the current quarter we expect a non-optic portion of our revenue to increase modestly on a quarter-over-quarter basis. In terms of revenue from new accounts it again represented more than 10% of revenue and now for the third consecutive quarter up from approximately 6% of revenue in the same quarter last year and increasing more than 40% sequentially. We’re encouraged by the increased visibility that we’re beginning to see in terms of the sustainability and predictability of this revenue contribution, we are confident in the investments that we have made over the last couple of quarters to increase our worldwide sales efforts will help us to broaden and strengthen this pipeline to ensure that it remains a healthy contributor to growth in the coming quarters and years. But also pleased with the progress we made to date on our new U.S. NPI operation Fabrinet West. During the March quarter we purchased the facility in Santa Clara are now in the process of equipping and staffing the factory and expect to deliver our first products for customers from the site during the current quarter. In fact last week our first demo units came off new lines. We’re excited about the long-term opportunity that we believe this new operation will provide for both existing and new customers and expect that as this NPI facility grows it will provide increased opportunities for the transfer of volume products to Thailand. With that I would now like to turn the call over to TS to review to review financial results.
TS Ng: Thanks John and good afternoon everyone. As in the past, with all numbers presented here are GAAP unless stated otherwise. Total revenue for the third quarter was 189.5 million an increase of 13% compared to total revenues of 167.7 million in the third quarters of last fiscal year and up a little more than 0.5% compared to last quarter. Please note that revenue in the quarter do not include any meaningful consigned shipment revenue excluded from fiscal 2014 compared to approximately 8.4 million in consigned revenue recognized last quarter. On an apples-to-apples basis, excluding the impact of the consigned revenue, sales in the third quarter would have grown 5% sequentially well above our normal seasonality. We expect to recognize the remaining 4.6 million of consigned shipment revenue in the current quarter. On an end market basis, revenue from optical communication was 136.6 million or 72% of total revenue for the quarter while revenue from our non-optical businesses was 52.9 million the remaining 28%. GAAP gross margin for the third quarter was 11.4% an increase of 25 basis points sequentially. Excluding share based compensation expenses, non-GAAP gross margin was 11.6% in fiscal three quarter up 26 basis points quarter-over-quarter. For fiscal 4Q, we are forecasting a moderate sequential increase in gross margin. Our total share based compensation expenses for the quarter were 2.0 million, of which roughly 1.6 million was included in SG&A. As we highlighted on our last call, the increase in SG&A in fiscal third quarter was primarily due to the expansions of our sales team and increased expenses associated with our new Fabrinet West operation. We expect that we will remain at this level through the near-term. Our tax rates in the quarter were a net expense of approximately 1.1 million and our effective tax rate was 9% above our expected range of 6% to 7%. On a normalized basis our effective tax rate would have been 7% if we exclude one-time expense associated with our new Fabrinet West operation booked this quarter. We anticipate that our effective tax rate will continue to be in the range of 6% to 7% moving forward until during [fixed] we substantially occupied. On a non-GAAP basis, net income totaled 13 million for the quarter or $0.36 per diluted share. Non-GAAP net income declined by approximately 1.4 million compared to last quarter due to the higher SG&A expenses partially offset by the improving gross margin. On a GAAP basis including share based compensation expenses and other expenses related to the drawdown of portions of our credit line, net income in the quarter was 10.8 million or $0.30 per diluted share compared to GAAP net income of 47.7 million or $1.33 per diluted share in the third quarters of fiscal 2014. Please note that our GAAP net income in the third quarters of fiscal 2014 was positively impacted by 38.2 million or $1.07 per diluted share due to the finance payments plus insurance proceeds. Moving on to the balance sheet and cash flow statement. We ended the quarter with a cash and investment balance of 264 million. Total cash increased by approximately 1 million sequentially primarily from our operations. During the quarter, we spent approximately 25.5 million to purchase our new facility in Santa Clara and begin initial equipment installations. In the current quarter we expect an additional 5.2 million in cash expenses as we finish the initial equipment purchases and begin operations. In total, we expect that cash expenses associated with getting our new Fabrinet West operations up and running will be approximately 40 million for this fiscal year, in line with the range that we disclosed last quarter. I will now like to discuss guidance for next quarter. We expect revenues of between 195 million and 199 million, which include the remaining 4.6 million of consigned revenue excluded from fiscal 2014. GAAP net income per share is expected to be in the range of $0.33 to $0.35 and non-GAAP net income per share of $0.37 to $0.39, based on approximately 36.2 million fully diluted shares outstanding. That concludes our prepared remarks. At this point, I would like to turn the call over for questions. Operator.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Patrick Newton from Stifel.
Patrick Newton: I guess any chance for the remaining 4.8 million in consignment revenue that you’ve guided to in the June quarter could slip out beyond the June quarter?
TS Ng: Patrick this is TS. No, I don’t think so, because we have a customer actually already signed, so as part of the subsequent event the last quarter.
Patrick Newton: And then I guess on the beginning the segment, could you give us the mix between lasers, and automotive, and sensors and your other business? And then as we think about the new customer contributions I think we’re up 40% sequentially. Is there out size exposure to lasers automotive and sensors or is it on the optical communications side that you're seeing the new customer addition?
Tom Mitchell: Sure Patrick. As to your first question hadn’t been a real big change in the make-up of that non-optical category. Both questions -- about two-thirds of it winds up being in the laser category, the remaining one-third is primarily auto but that’s where there are some other stuff in there as well. So, no real change there from sort of a historical pattern that we seen in the non-optical business over the last several quarters. In terms of the growth and the new customer stuff, a lot of that has been in the optical business. Although there are some new programs that are coming in on the non-optical side as well, those tend to take a little bit longer to grow and in terms of the optical side, we did see some pretty contributions this quarter and it was behind some of the growth that we saw on the datacom business in particular.
Patrick Newton: And I was little bit surprised you were able to guide up to your June quarter on the laser sensors others given that there is a pretty well documented inventory correction at your largest laser customer. Is automotive picking up the slack or are there other laser programs picking up the slack or is this inventory correction more smooth from a production standpoint at the Fabrinet level or given as you kind of trail your customers typically could the September quarter be were where you see that inventory correction have an impact to your business?
Tom Mitchell: I am not going to comment on any specific customer here Patrick, but I’ll say that our laser business was down in the March quarter. So, I think that whatever might have happened from a correction standpoint, I think we did absorb the bulk of it. As we’re looking into June, I think it's a combination of kind of all the factors you went through, we’re expecting some of the non-laser business to growth on a sequential basis that we at this point factored into our expectations for June.
Patrick Newton: And then just one more is on Fabrinet West on track to generate revenue in the current quarter, can you quantify this? And then I think in reference to some Q&A last quarter you talked about tens of millions of contribution to revenue and fiscal year '16 from Fabrinet West is absolutely right way to think about it?
TS Ng: Patrick This is TS. I think we're still to install the equipment, so if there any meaning will be in next fiscal year.
Patrick Newton: And pertaining that fiscal year '16?
TS Ng: Yes.
Patrick Newton: Was that tens of millions is the right way to think about it?
Tom Mitchell: That’s certainly our expectation at this point Patrick.
Operator: Thank you. And our next question comes from the line of Sherri Scribner from Deutsche Bank.
Sherri Scribner: Nice job on the gross margin this quarter, wanted to get a sense of what’s driving that upside to gross margin and the improving gross margin as we move into the fourth quarter is that largely mix or is that some better utilization of building 6?
TS Ng: Is mainly volume, volume leverage. We can see in the revenue kind of pick up right now and obviously building 6 is getting fill up. So as I always said, once a building 6 is getting fill up. So as I always said once the building 6 is fill up then they'll have the margin. So essentially I’ll say is volume.
Sherri Scribner: And then I guess I am surprised you guys are seeing such good demand and you feel pretty good about visibility some of the other supply chain companies have commented that the telecom segment is a bit weaker. So just trying to get a sense of what you're seeing and why that’s probably different from some of the other contract manufacturers?
Tom Mitchell: Two things, Sherri I think what we talked about even coming into the March quarter, was having some new programs that were far-enough along in their ramp process that we felt good from those contribution side. I think we saw some of that here in the March quarter results that we just shared with you. And our expectation is if that’s going to continue a bit into June. So, it’s providing us with probably a little better visibility and a little bit more growth than maybe some of the more legacy type businesses that are out there today.
Sherri Scribner: I guess just following up on that, many of the supply chain companies have said that they’re seeing weakness in the near-term, but they see some strength in the second half of the year. Are you also expecting that?
Tom Mitchell: I think anybody, I mean if you look at the carrier spending numbers if you hit -- I think that’s probably the expectation that’s out there. I won’t say that we certainly seen it in the order-book at this point, that’s still a little bit far-out for us. I think in discussions with customers, that certainly what they’re hoping will occur. But I don’t think we’re far enough along into the year where we can say with any kind of certainty that we’re going to see that translate into orders in the second half.
Operator: Thank you. And our next question comes from the line of Subu Subrahmanyan from The Juda Group.
Subu Subrahmanyan: I’ve two questions, first on just the seasonal pattern. If you take out the consignment revenue, last two or three quarters have been relatively flat quarters, not as much seasonality. I am just curious why you think that’s the case, you haven’t seen as much of a seasonal pattern. And how you expect that to play out through the course of the year? And the other question is on datacom revenue growth, strong growth 20% quarter-over-quarter. Could you talk about it was if driven by new programs specifically or 40 or 100 any particular cost areas of growth there?
Tom Mitchell: Subbu, to your first part about seasonality, I think part of what has happened for us here, certainly in the March quarter going back to December. Our December quarter was a little bit weaker than typical seasonality. And I think that was largely due to some of the carrier spending patterns that I know got a lot of talking discussion over the last couple of quarters. I think with December had been a little bit less strong than is typical, we saw March that was probably a little bit better than was typical as a result of that. We didn’t see the order cuts that we typically see at the start of the calendar year. I think that combined with some of the new program growth that we had in the quarter, certainly pushed us above what is sort of normal seasonality. Looking forward from here, I mean, I think for us, and again we don’t have visibility certain out through the end of the calendar year. You look at what some of the carrier CapEx numbers have been saying on that side. It would look like this would -- as we're setting up to be a more typical year in terms of having the carrier spending build as we go through it, the datacom side of the business seems a little bit stronger. And that probably dovetails right into your second question. We did get a nice little kicker in the March quarter from some new programs on the datacom side. We expect that to continue a little bit into June. So, I think we’re seeing, at least for us in particular, some strength there that we maybe didn’t have in some prior quarters, as these new programs come on and provide some of that lift.
Subu Subrahmanyan: And are those the new customers are they -- is this with existing customers' new programs?
Tom Mitchell: It is a little bit of both, to be fair, Subbu.
Subu Subrahmanyan: And then one question on Fabrinet West, I know you talked about the opportunity again, questions asked, but sort of tens of millions. I mean is it more meaningful as you got to do the second half of fiscal '16? And could you give us some color on the sort of customers that have signed up for this, any count between component vendors and system vendors, any color on that would be helpful.
Tom Mitchell: Sure. I mean it is I think going to be more weighted to the second half of the fiscal year. Obviously, we’re still in the process right now of just even getting the first couple of lines set up and qualified. Our expectation is that we’ll be able to ship at least some minimal revenue for that operation here in the fiscal 4Q. As we go through the remainder of the calendar year, we’ll probably be adding some additional lines and some capacity into that space as well. So, I would expect that the contribution from this business is going to be more weighted to the second half of the fiscal year. In terms of the customers, that are with us today, are certainly having discussions with us today. I think it is a mix of some current customers who we’ve been doing business with for a while, who are looking at it as certainly a more convenient way to do quick turn NPI. But it’s also being used by us with a lot of the newer accounts that were really reaching to for the first time, both in optical and in non-optical, as a way to make sure that we’re able to showcase our abilities and let them know that we can prove out their designs on a quick turn NPI basis but then also provide that gateway to low cost manufacturing in Asia.
Operator: Thank you. And our next question comes from the line of Alex Henderson from Needham.
Alex Henderson: Couple of questions, let me start-off with the Fabrinet West investment. We’ve talked a lot about the impact on revenue opportunity there. But, can you talk about when the cost associated with the investments you’re making there, start to feather into the numbers? I assume that since you haven't got production up and running with once you actually go to production, there is a step up and depreciation costs and can you step some of the mechanics of that?
TS Ng: Alex, that's a good question. As you know right now, we're in a preproduction mode -- and most of the costs are captured below the line and we say we've above spent 1.8 million between Fabrinet West and some of the new sales force, task force we hired. So, as we bring in revenue -- a portion of that was going to cost of goods sold, So as to how much going up? A lot depend on the revenue. So, as we ran out of capacity, some of these will come out on the either capacity going to the cost of goods sold. So that will be perfect.
Alex Henderson: So we should be feathering in $1.8 million in quarterly costs going forward once the production starts?
TS Ng: No, gradually. So if we are successful, let's say the factories [indiscernible] 1.8 beside the sales expenses, the 1.8 including the sales expenses all the 4,900 are Fabrinet West cost of goods to the production, cost of goods, so how much to grow up that, a lot depend on the revenue ramp.
Alex Henderson: Isn't there are depreciation [slot] that kicks in immediately on production now?
TS Ng: Yes, so right now, the depreciation will kick in also and also the -- you're going to hire direct labor. So, that is not included in part of 1.8 million. So as you ramp we have variable costs and we have depreciation come on line and then they would be in cost of goods sold.
Alex Henderson: Right and the OpEx cost that was incrementally quarter-to-quarter kick in as a result of that would be what?
TS Ng: We do depend; a lot depend on the revenue pattern.
Alex Henderson: Can you give us the bracket of what the sequential cost is, because we have no way to model it otherwise?
TS Ng: I'd say, if we fully rank, right now of the 1.8 million we incurred in addition to the normal run rate before we had a 4,900 before we had Fabrinet West about 1.8 million, of the 1.8 million about 1.2 million belongs to Fabrinet West, 500,000 to 600,000 belongs to the sales expenses. So the 1.2 eventually grow up to the cost of goods sold.
Alex Henderson: So, we should be anticipating $500,000 or $600,000 increase in quarterly SG&A expenses?
TS Ng: The sales cost will remain that, the sales expenses, that's correct Alex.
Tom Mitchell: And that's already in that number today, Alex, but what you saw in this current quarter, already has that number in the SG&A, while and that should say fairly stable.
Alex Henderson: Correct. So then when does the depreciation kick in, there is slow the lock in piece, the piece that seems we missing. What is the size of the dollar of depreciation? When does that kick in?
TS Ng: So depreciation is not significant amount right now, because the building as I say is 25.5 million and building grow by either 27 or 30 year around that time span. So, I mean that depreciation on the building is not huge number. Increment is about, right now we only have two lines and two lines will be 4 million to 5 million plus a little improvement. So again there we depreciate overall periods of time, so negotiation at this moment is not significant, if you ramp to this full grown facilities would justify than and the depreciation was significant, and by then you have the revenue to offset that.
Alex Henderson: So, other piece of the equation is the timing of the new building for your broader production, others not FN West but the core companies? Can you talk about whether there has been any change in the timeline of when you think you'll need to ramp that next building?
Tom Mitchell: So we've talked about certainly this calendar year, the space today is about 75% capacity, that's the entire campus buildings, sticks at about 60%, if you look at the newest building. So our expectation is that probably some point this summer, we'll start driving the pile-ons and start to get to work on that, which would bring that building online at the start of -- certainly probably within that first quarter or the balance of fiscal year '17 Alex.
Alex Henderson: As we move to fiscal year '17 and that building starts to come online, what is the expected increase in cost and the reduction in gross margin associated with that?
TS Ng: Alex, assuming there is no revenue. All things equal no revenue the depreciation impact is about maybe 10 to 15 basis point on gross margin, assuming there is no revenue to offset that.
Alex Henderson: And if there is revenue is obviously that would have a pretty low margin to start with because your capacity utilization is quite low, right?
TS Ng: It's not basically the whole building, right. I mean, once the building is started is the whole building and you don't depreciate building floor space by floor space. So, there will be impact there.
Tom Mitchell: Takes a while to offset that.
Alex Henderson: What I'm trying to figure out I just want to make sure I understand mechanically, what you're describing here is a situation where as the high margin revenues or the revenues from Fabrinet West kick in start and start improving your margin from that perspective and then improving your revenue growth, you will also be factoring in this new production facility, which will then pressure the gross margins and those two will be countervailing forces, are they roughly equal in that point of time, in terms of the margin impact?
Tom Mitchell: I mean that would certainly be the goal Alex but a lot of that is going to also be based on the success for the Fabrinet West operation and our ability to grow that the way that we think we can.
Alex Henderson: Then just going back to the optics market for one last question. It sounds like the optics market saw a nice acceleration in demand throughout the quarter which is not seasonally normal, a little bit more better than normal seasonal. Can you talk a little bit about linearity of orders in the quarter or whether you saw some acceleration? And is that a function of the cloud market taking off or is that the function of the metro mark starting to kick in and how do you see the demand drivers?
Tom Mitchell: Sure, I think for us what was a little bit unusual in this quarter relative to some other large quarters, if you will; was atypically we get a lot of order cuts late in the December quarter, early in the March quarter as customers look to clean out inventory at the start of the calendar year and because I think the December quarter was a little bit weaker than some customers had originally anticipated, we saw those order cuts a little bit earlier in December quarter end. So we did really start this quarter in a whole so to speak; everything smooth out from December on. So, it was probably anything a little bit more of a linear quarter than we typically see in our March quarters. That said, what we did see, I think the datacom market be a little bit stronger and came back; I think also some of the weakness that was out there in the second half of last calendar year. And I think that obviously I has a lot to do with what we are seeing on the datacenter market side. On the telco side, I think we saw a couple of products specific areas that were a little bit be stronger. I think we saw another descent quarter in [Rhodoms]; we've had a couple of customers who talked publicly about the fact of that most of that is going to lab and field trials and is not necessarily indicative of a big upturn in that metro market yet but we did see some continued improvement in that market as well; so some of it I think was metro but the stronger side was certainly on the datacom market.
Alex Henderson: Can you give a reason on China demand?
Tom Mitchell: Yes, that's tougher for us to be fair, Alex. We shifted to other CMs in China, so it's hard for us to really know exactly what builds are going on there quite frankly unless there are submarinewhere it's almost a direct correlation.
Operator: Thank You [Operator Instructions]. Our next question comes from the line of Paul Castor from JP Morgan.
Paul Castor: First, I just want to make sure and understand the consignments revenue, presumably ends in the June quarter, can you confirm that? And can you confirm that is not materially different in terms of gross margins rest of the business?
TS Ng: Paul first question on [4.50], it was a subsequent event and I think it’s a done deal, so we are going to book that. Now in terms of gross margin, no; it will be much lower gross margin because we don’t get production as an option. Alright the production and assumption was done, couple of quarters ago, so therefore the gross margin impact will not be the same as new build, alright. So we seek some gross margin but is not as the high or as normal as a new builds.
Paul Castor: So I can move to the other question as well some puts and takes to gross margins immediately and over the medium-term. Can you perhaps give us some sense of where you think your longer term gross margins are headed and why?
TS Ng: So, look at the last two, three year pattern and again now we are approaching the 195 to 200 million level; I think all along we've guided 12% to 12.5% of intake. I mean we have a lot of challenge here and there the cost always go up, pricing already come down but again in cost reduction, we're able to maintain that, we always say that when you get up to 195 million to 200 million or above that, we should feel comfortable 12.5%.
Paul Castor: And then on Fabrinet West; just little curious as to Tom's opening remarks about the pipeline growing; Can you explain to us what the go-to-market strategy is here? Is it really going after existing customers but with sort of time to market type of business here and U.S.? Or is it new customers and just completely or new product categories. Just want to understand what the value proposition is that you're presenting to the customers here and which customer are going after?
Tom Mitchell: Sure Paul, I think there is this two ways to look at it. First way, as you mentioned is with existing customers while today we do a fair bit of MTI for existing customers and our Pinehurst facility in Thailand. We've always had request and then have for number of years to have a facility that was more local to those customers and as you know we do a fare bit of business right off of route 237 there in California. So part of this is in response to that to capture more of the earlier stage, quick turn, NPI business from existing customers who want to run new products, much closer to home so that they co-locate with the lot of the engineers. The other side of this is to use this as a facility that can start with NPI and prove to new customers both in optical and in non-optical, what the capabilities are to show them that we can do complex assembly work for them. And then offer them gateway transition directly to low cost manufacturing located in Thailand. So it's sort of a dual strategy if you will with existing customers, it's made to capture more of the early stage business to make sure that we can continue to transition those products to Thailand. And then as also for new customers where it’s a showcase, customers who may not just as well who may be reluctant to do a new product initially immediately in Thailand to allow them to sort of be a little bit closer to home, we can show them the capabilities that we have and when they are ready to go to full production it's a seamless transition from the West Coast facility to our Thai facility.
Paul Castor: Just kind of last quick follow-up question, and how many customers are actually up and running on the production lines already and how many do you think they might be in the year from now?
Tom Mitchell: Well, I mean to be fair we’re not fully established yet, like I said we're still doing demo units on those lines. So I am not at this point prepared to discuss customers that are or aren’t in the factory. I think again as we’ve said all along and TS mentioned, we have two lines up and running with customer product coming off by the end of June, our expectation is that as that pipeline continues to grow will put in some additional lines here before the end of the calendar year and then from there it's all success based, that the facility has room for 10 lines, as well as some other capabilities that we can build in around that, but right now we’ve kind of got line of sight on having those four lines in and then from there a lot of it is going to be success based.
Paul Castor: Yes, I guess I am assertive this, is I am just trying to figure out whether we’re talking about handful of customers who will be doing a lot of diverse work with you or whether it's going to be potentially dozens of customers that you've got in this facility a year from now?
Tom Mitchell: When you go long-term Paul is to have a handful of both of those types of customers. A number of quick turn customers and maybe in and out multiple times a year as well as some larger -- we do see consistent volume there.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to management for any closing comments.
Tom Mitchell: Thank you everybody for joining us today. We look forward to talking to you in the future.